Operator: Good day, ladies and gentlemen, and welcome to the Star Gas Fiscal Year 2012 Third-Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions]. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Dan Donovan, Chief Executive Officer. Sir, you may begin. 
Daniel Donovan: Thanks, Stephanie. Good morning and thanks everybody to joining us today. With me today is Star's Chief Financial Officer, Rich Ambury and our Chief Operating Officer, Steve Goldman. After some brief remarks by me, Rich will review the Star's financial results for the period ended June 30, 2012 and this will be followed by some comments from Steve regarding operating results and of course as always, we'll be happy to take your questions at that time.
 Before we begin, Chris Witty of our Investor Relations firm, Darrow Associates will read the Safe Harbor Statement. Chris? 
Chris Witty: Thanks, Dan, and good morning. This conference call may include forward-looking statements that represent partnerships, expectations and beliefs concerning future events that involve risks and uncertainties and may cause our partnerships actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the partnership believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the partnership's expectations are disclosed in this conference call and in the partnership's annual report and Form 10-K for the fiscal year ended September 30, 2011. All subsequent, written and oral forward-looking statements attributable to the partnership or persons acting on its behalf are especially qualified in their entirety by their cautionary statements. Unless otherwise required by law, the partnership undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise after the date of this conference call.
 I would now like to turn the call back over to Dan Donovan. Dan? 
Daniel Donovan: Thanks, Chris. Its Dale Carnegie who reportedly said when fate hands us a lemon, let`s try to make lemonade. So following one of the warmest winters on record, this quarter showed the impact of our emphasis on cost containment and cost abatement in our ongoing efforts to improve operating performance.
 We were pleased to be able to report an improvement in adjusted EBITDA of $3.3 million, 44% better than the same period last year despite this quarter's 25% warmer than normal weather and the lingering effects of the warm winter period that we've just been through.
 In addition to the ongoing high temperatures, heating oil prices continue to present a challenge. Average New York Harbor spot prices for heating oil for the fiscal third quarter were $2.89 per gallon. While that's $0.15 less than last year's third quarter, it's still $0.79 higher than the same quarter in 2010 and $1.35 higher than the same quarter in 2009.
 Customer gains for the quarter increased versus the same period last year but losses also rose resulting in an unfavorable variance of 1,300 accounts year-over-year. On a 9 month basis, gains increased by 4,500 while losses rose by 7,300 for year-to-date unfavorable variance of 2,800 accounts. As we have emphasized in previous quarters, the year-over-year increase in attrition primarily reflects an uptick in losses due to move outs, fuel conversions, price of oil and customers failing to maintain acceptable credit standards. The consequences of high heating oil prices and record warm winter temperatures made the last 3 quarters particularly demanding in managing many aspects of our business including attrition.
 As the results of this quarter indicate, we have started to restructure and streamline many areas of our operation and thus reduce organizational expense both short-term and long-term. Steve will be touching on this in his comments.
 While we've only made 1 acquisition in the third quarter, it was a key one and added over 17,000 full service retail and commercial accounts and 15 million gallons to our account base in Maryland. Our acquisition program remains very active with ongoing discussions in various stages with several heating oil and propane companies. We're optimistic that we'll be able to close on some of these candidates in the near future.
 In closing, let me just repeat what we said last quarter. We feel that the changes we have been making and will continue to make can only result in Star becoming a stronger company in future heating seasons. With that, I'll turn the call over to Rich Ambury to provide some comments on our financial results. Rich? 
Richard Ambury: Thanks, Dan, and good morning, everyone and thank you for joining us to discuss our results for the third fiscal quarter and the 9 months ending June 30, 2012. During the quarter we sold approximately 35 million gallons of home heating oil propane or 21% less than last year and 10% warmer temperatures, net customer attrition and other factors outpace the impact of acquisitions.
 The adjusted EBITDA loss of the third quarter was $4.2 million which represents an improvement of $3.3 million versus the same period a year ago. Our efforts at reducing operating costs are reacting to 25% warmer than normal weather for the quarter, more than offsets the volume decline in relatively flat home heating oil and propane margins in our base business.
 Delivery, branch and G&A expenses declined by over $8 million as the additional expenses from acquisitions were more than offset by a $12 million reduction in base business operating expense. Also impacting the favorable change in our adjusted EBITDA loss was an improvement in service installation profitability of $3 million which again, was largely driven by our efforts at expense control. We posted a net loss of $11.8 million for the quarter, $6.4 million less than the prior year period largely due to the after-tax impact of the improvement in our adjusted EBITDA loss of $3.3 million and a favorable change in fair value of derivate instruments of $5 million as well as the recognition of a previously unrecognized tax benefits.
 Moving over to the 9 months results. Home heating oil and propane volume for the first 9 months of fiscal 2012 decreased by 79 million gallons or 24% to 257 million gallons and the impact of warmer temperatures, net customer attrition and other factors more than offset the additional volume provided by acquisitions. Temperatures at Star's geographic area of operations were 21% warmer than the prior year's comparable quarter and 22% warmer than normal. As noted in our historic second quarter 10-Q the heating season of fiscal 2012 was the warmest in 112 years within the New York Metropolitan area.
 Our per gallon margin did increase by $0.025 or 3% during a 9 month period but this was not sufficient to offset the 79 million gallon decline in home heating oil propane volume we experienced which led to a reduction in product gross profit of $64 million.
 Adjusted EBITDA for the 9 months ended June 30, 2012, was $71 million, $31 million less than the prior year period. Again, our efforts of reducing operating costs along with the $12.5 million received from our weather hedge contract significantly reduced the $64 million decrease in product gross profit.
 Delivery, branch and G&A expenses declined by over $27 million as the additional expenses from acquisitions of $9 million were more than offset by a $24 million reduction in advanced business operating expenses as well as the $12.5 million received from the warm weather hedge.
 Service and installation profitability also improved by $5.5 million which again, was largely driven by our efforts at cost control and favorably impacted the adjusted EBITDA comparison. We posted net income of $32 million down $19 million from the prior year period reflecting the after-tax impact of the decline in adjusted EBITDA of $31 million and unfavorable non-cash change in the fair value of derivatives of $12 million.
 Moving over to the balance sheet as of June 30, 2012, we are approximately $91 million in cash on hand; 0 borrowings from our bank group and long term debt of $125 million. We also recently purchased warm weather protection for fiscal years 2013, 2014 and 2015. The contract period for each fiscal year is from November 1st to March 31st, taken as a whole, and at the strength at a 7.5% below the average weather for the past 10 years. We will continue to seek attractive acquisition opportunities with the strength of our revolving credit facility and funding resources. In addition, the board approved at its July meeting a new stock repurchase plan for 3 million common units. And I'll return the call over to Steve for some comments on our operations. 
Steven Goldman: Thank you, Rich, and good morning, everyone. Operationally our focus continues to be on providing excellent customer service while adapting to the changing conditions we've see in the marketplace. We know we must provide the best service in our markets while cutting expenses at the same time and as such we are adjusting some of our traditional operating structures and boundaries. In the past few months we have carefully looked at staffing throughout Star Gas and begun to consolidate assignments and broaden responsibilities with many of our managers, thus reducing headcount without significantly changing the way we operate or how we serve our customers. A key measure of the success of these changes is the strong support of our employees in executing such streamlining initiatives.
 We are still dedicated to protect the many brands that the customers know and love while changing the backlog and support. These resource alignments are helping us reduce staffing, equipment, facilities needed to support our operations.
 Some of these changes can be executed relatively quickly while others may take months to complete due to the varied circumstances of each operation. We have already begun to see the fruits of our efforts these past 2 quarters and believe we are building a better foundation on which to operate going forward.
 Meanwhile our propane operations continue to spread and grow, the additional complement of propane plumbing and gas services is changing how both our customers and our employees view our business. We all know that we need to continue to adapt to succeed in the future and that is exactly what we are focused on doing.
 Our management team has challenged itself to shape how we do things to eliminate what we believe is no longer important to our customers and strengthen the services that customers desire. The goal of our leadership team has been to focus on what needs to be done to continue to grow profits despite changing conditions. Our attitude is not only can do but must do. With that, I'll turn the call back over to Dan. 
Daniel Donovan: Stephanie, at this time we'd like to open up the phone lines for questions. 
Operator: [Operator Instructions]. We have a question from the line of Michael Prouting with 10K Capital. 
Michael Prouting: So I am assuming that you can continue to affect cost controls without affecting service levels? 
Daniel Donovan: Most definitely. We look at it very carefully to make sure that we don't do that because our niche is to provide excellence in customer service. We know we have to do that. But this warm weather has made us look at the business from every which way but upside down and in doing so, we find areas where we think we can make some cuts and still provide a level of service that our customers demand. 
Michael Prouting: And just 1 other question I was wondering. At what point do you get any kind of advance forecast in terms of the upcoming winter? 
Daniel Donovan: Are you talking about weather forecast? 
Michael Prouting: Yes exactly yes. I mean obviously not in terms of what it's going to be like from 1 day to the next day, more in terms of whether it's likely to be normal, above average, below average, etcetera. 
Daniel Donovan: We saw looking at that around now really a little bit earlier than that. But we get various forecasts but here is how a forecast is found. It's 6 and 1/2 a dozen of the other. Well this may happen but that may happen. It's like listening to your weather forecast at night on the TV. Well this may happen, but if this happens, it will be a little bit different. Right now we're hearing that there's a possibility that it could be a normal winter and that's not unusual to hear although we'll get forecast to say well, it's possibly based upon El Nino and based upon a North Atlantic blocking pattern. It could be a little bit colder than normal and then you'll hear somebody say well, because El Nino is going to be weak, maybe it's going to be a little bit warmer than normal. We have no idea, nor do they. It’s a little bit early but we'll be watching those forecasts between now and October 1st. 
Operator: Our next question comes from the line of Ed Olson [ph] who is a Private Investor. 
Unknown Attendee: My question is on the insurance for warm weather. Given last year's history did they bump the rates with the 10, 14 and 16 in any appreciable way? 
Richard Ambury: Well the calls that we did receive from last year were more expected than the prior year. 
Unknown Attendee: By a significant amount? 
Richard Ambury: Yes. 
Unknown Attendee: That's not surprising. Next is a question about the buyback that shows great confidence in the business and a great move that you all didn’t advertise and it was not in the press release. And the reason I mentioned that is there are a number of websites that people can go to, for instance Barron's has one of companies that have announced buybacks or additions to buybacks. And people go shopping, looking for stocks that increase dividends and buy their stock back and unfortunately without a press release. You're not going to be on some of those lists. Some of them may take it up from the SEC but Barron's as an example, did not. Do you plan to rectify that? 
Richard Ambury: We'll take a look at that for you. 
Unknown Attendee: Does that mean you'll rectify it? 
Daniel Donovan: We’ll we've never had it in the press releases before. It definitely is in decay and it hasn’t been a problem in getting the word out there. As a matter of fact, when there is some buybacks, it's usually out there pretty quick. So I don't look at it as a problem. 
Richard Ambury: Our stock buyback is at SEC, buyback program when we go, we're in the market everyday buying a number of units that we can buy, within the constraints of average trading volumes. It's not like we made an announcement to the entire universe that we're going to buy 50% of our units back. We can only buy so much per day given the constraints of this program. 
Unknown Attendee: I understand the mechanics, but the point that this information is not on certain lists that people would shop for stocks. Some people may miss, for the buyer, that's great. But for the seller, not to know that, precludes Star Gas getting on some people's list. Anyway I would take a serious look at it. 
Operator: [Operator Instructions] And at this time I am showing no other questions in queue. And I'd like to turn it back to Dan Donovan for any closing remarks. 
Daniel Donovan: Okay. I thank everybody for taking the time to join us today. I know this is a heavy vacation season and we're coming out of, what I guess many would consider a slow quarter but we do appreciate your ongoing interest in Star Gas and we look forward to sharing our full year's results with you in the coming months. Thank you. 
Operator: Ladies and gentlemen this does conclude today's conference. You all may disconnect and have a good day.